Operator: Good morning. My name is Laura, and I will be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group, Third Quarter 2019 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Ms. Jamie Baird with FTI Consulting, you may begin.
Jamie Baird: Thank you, Laura, and good morning, everyone. Welcome to the EMCOR Group conference call. We are here today to discuss the company's 2019 third quarter results, which were reported earlier this morning, I would like to turn the call over to Kevin Matz, Executive Vice President of Shared Services, who will introduce management. Kevin, please go ahead.
Kevin Matz: Thank you, Jamie. And good morning, everyone. Welcome to EMCOR Group's earnings conference call for the third quarter of 2019. I can't believe how fast the year has gone by already, Halloween this week. For those of you who are accessing the call via the Internet and our website, welcome, and we hope you have arrived at the beginning of our slide presentation that will accompany our remarks today. Please advance to Slide 2. This presentation and discussion contains certain forward-looking statements. Page 2, describes in detail the forward-looking statements and the non-GAAP financial information disclosures. I encourage everyone to review both disclosures in conjunction with our discussion and accompanying slides. Slide 3, depicts the executives who are with me to discuss the quarter and nine months results. They are Tony Guzzi, our Chairman, President and Chief Executive Officer; Mark Pompa, our Executive Vice President, Chief Financial Officer, and Treasurer; and our Senior Vice President and General Counsel, Maxine Mauricio. For call participants not accessing the conference call via the Internet, this presentation including the slides will be archived in the Investor Relations section of our website under presentations. You can find us at emcorgroup.com. With that said, please let me turn the call over to Tony. Tony?
Anthony Guzzi : Yes. Thanks, Kevin, and good morning, and I will be covering pages 4 through 6 in my opening comments. We had another terrific quarter. We set new company records for third quarter revenues at $2.29 billion, operating income at $115.8 million, net income attributable to EMCOR Group at $81.4 million, and diluted earnings per share from continuing operations of $1.45. Cash flow from operations was very strong at $218.7 million. We also had very good cost control with SG&A at 9.6% of revenues. We had a tough comparison this quarter versus the year ago period and still set these new third quarter records. Our revenue growth was 11.8% this quarter with 8.1% of that organic revenue growth. We have a strong base of remaining performance obligations or RPOs of $4.04 billion, up $65.4 million from a year ago period, and up $70.8 million from the year-ended 2018. Our RPOs continue to be very strong, despite our strong organic revenue growth in the quarter and year-to-date. We continue to execute well for our customers. Our third quarter EBITDA margins are at a strong 6.1%, and we had good third quarter operating income margins of 5.1%.  Now, let me take a minute and cover some of the highlights from the quarter in our segments. Our Mechanical and Electrical Construction segments continue to perform very well. We had combined operating income margins of 6.7%. As we have discussed previously, operating income margins will move within a band of strong performance based on mix of work, scope, stage of completion on our large complex projects. We had strong revenue growth in commercial data centers, manufacturing, healthcare, and our short duration work.  Overall, we are executing extremely well in these segments with a focus on our estimating, job selection, planning, pre-fabrication, labor management, and we are successfully closing out both large and small projects. Our construction teams are executing well and continue to look for the right opportunities to gain productivity through extensive pre-planning, the application of building information modeling or BIM, and the resulting pre-fabrication. We are also doing a very good job of workforce development in this very tight labor market. Our Building Services segment had an exceptional quarter. We had revenue growth of 12.3% and operating income margins of 6.6%. Our mix of work is very good, with strong revenue growth in the quarter in our mechanical services and commercial site-based businesses. Our acquisition-integration has been exceptional in this segment adding geography and capability.  We said last year, we had executed well and with precision in the implementation of several large complex facility management contracts. We are and is having a positive impact on our operating performance across all relevant metrics. The Building Services team is focused and looking to continue executing with a high level of discipline and focus. Our Industrial Services segment had a tough comparison in the quarter versus the year ago period and was a little behind last year in the quarter from an operating income basis, but on a year-to-date basis, we are seeing strength return to this segment with much improved performance. It is important to remember that the third quarter is always a seasonally slow quarter unless we are helping our customers with a significant unplanned maintenance issue or augmenting their capital project work.  Our team is not satisfied with our operating income margins, and they've been rebuilding the businesses margin base over the last six quarters through our mix of work and an emphasis on some of our more niche product offerings and hope to return our EBITDA margin into the high-single digits. We are well positioned with our customers, and we have the team in place to keep executing for these customers. At this point in time, we are executing a normal fall turnaround season. Our UK segment continues to perform well. We lost some growth from foreign exchange with the weakening of the pound sterling. We are very strong operationally in the UK, and continue to win new customers who require a strong technical partner to manage their complex facilities. The UK team is strong, executing well, and continues to win new and important customers. Our balance sheet remains liquid and strong. With that, Mark, I'll turn it over to you for a detailed discussion of the quarter and our year-to-date performance.
Mark Pompa: Thank you, Tony, and good morning to everyone participating on the call today. For those accessing this presentation via the webcast, we are now on Slide 7. Over the next several slides as I typically do, I will augment Tony's opening commentary on EMCOR's third quarter performance, as well as provide a summary of our year-to-date results through September 30. All financial information referenced is derived from our consolidated financial statements included in both our earnings release announcement and Form 10-Q filed with the Securities Exchange Commission earlier today. So let's revisit our third quarter performance. Consolidated revenues of $2.29 billion are up $240.7 million or 11.8% over quarter three, 2018. Our third quarter results include $75.6 million of revenues attributable to businesses acquired pertaining to the period of time that such businesses were not owned by EMCOR at last year's third quarter. Acquisition revenues positively impacted each of our United States Electrical Construction, United States Mechanical Construction, and United States Building Services segments. Excluding the impact of businesses acquired, third quarter consolidated revenues increased to $165.2 million or 8.1%. All of EMCOR's reportable segments generated revenue growth during the third quarter, other than our UK Building Services segment. United States Electrical Construction revenues at $554.6 million increased to $68.7 million or 14.1% from quarter three 2018. Excluding acquisition revenues of $43.8 million, this segment's quarterly revenues grew organically 5.1% quarter-over-quarter. Revenue gains within the commercial market sector inclusive of project activities within the telecommunications submarket sector as well as revenue growth within the manufacturing market sector were partially offset by revenue declines within the transportation, hospitality, and healthcare market sectors due to the completion or substantial completion of certain large projects during 2018 or early 2019. United States Mechanical Construction revenues of $869.2 million increased to $109.7 million or 14.4% from quarter three 2018. Excluding acquisition revenues of $4.7 million, this segment's revenues increased $105 million or 13.8% organically. As has been the trend over the last several quarters, revenue growth within this segment remains broad based across most market sectors with revenue gains from all sectors other than hospitality, contributing to the overall increase in quarter three revenues.  This segment's revenue performance represents an all-time quarterly record for U.S. Mechanical Construction and eclipses the record set in quarter two earlier this year. EMCOR's total domestic construction business third quarter revenues of $1.42 billion increased to $178.4 million or 14.3% with 10.4% of such growth being generated from organic activities. United States Building Services quarterly revenues of $532.1 million increased $58.4 million or 12.3%. Excluding acquisition revenues of $27.1 million, this segment's revenues increased $31.4 million or 6.6%. Revenue gains within the mechanical services and commercial site-based services divisions were partially offset by revenue declines within the Government Services division due to a smaller contract base as well as reduced IDIQ project activity. Similar to our U.S. Mechanical Construction segment, revenue performance within U.S. Building Services for the quarter represents an all-time quarterly record for this segment. United States Industrial Services revenues of $234.2 million increased $6.8 million or 3% as a result of higher field services revenues inclusive of an increase in small capital projects. Such revenue gains were partially offset by a reduction in revenue from our shop services due to a lower level of heat exchanger sales then in 2018's third quarter. United Kingdom Building Services revenues of $97.6 million decreased $2.9 million as a result of $5.6 million in foreign exchange headwinds due to the continued volatility in the value of the pound sterling. Despite the impact of these unfavorable exchange rate movements, this segment continues to add new facilities' maintenance contracts as well as secure and execute projects for their expanding customer base. My last statement on third quarter revenues is to repeat what Tony referenced earlier in that our $2.29 billion of quarterly revenues is a new third quarter revenue record for EMCOR. Please turn to Slide 8. Selling, general and administrative expenses of $220.1 million represents 9.6% of third quarter revenues and reflects an increase of A$22.8 million from quarter three 2018. The current year's quarter includes approximately $9.7 million of incremental expenses inclusive of intangible asset amortization from businesses acquired resulting in an organic quarter-over-quarter increase of approximately $13 million. As I have mentioned for several quarters, with the sequential achievement of new quarterly revenue records, we are experiencing an increase in employment costs primarily as a result of increased head count to support the strong organic revenue growth among the most of our domestic reporting segments.  Reported operating income for the quarter of $115.7 million represents a $4 million increase as compared to operating income of $111.8 million in 2018's third quarter. Similar to this quarter's revenue performance, our operating income in absolute dollars represents a new third quarter record. However, despite the increase in operating income, operating margin has declined modestly from 5.5% of revenues in the third quarter of 2018 to 5.1% in the third quarter of 2019, due to margin contraction within each of our U.S. construction segments as well as our U.S. Industrial Services segment. I will cover the details of each of our reportable segments operating income and operating margin performance as I continue through this slide. Our U.S. Electrical Construction segment operating income of $33.6 million decreased by approximately $800,000 from the comparable 2018 period. Reported operating margin of 6.1% represents a 100 basis point reduction over last year's third quarter. This reduction in operating margin is due to the favorable impact in the prior-year period of certain large transportation construction projects that had reached or approached substantial completion in 2018.  2019, the third quarter U.S. Mechanical Construction segment operating income of $61.2 million represents a $2 million or 3.3% increase from last year's third quarter. Operating margin of 7% decreased by 80 basis points period over period, partially as a result of a revenue mix, which includes a greater number of large projects in the earlier stages of completion, which typically reflect lower projected gross profit margins than projects that are approaching the later stages of completion. Additionally, 2018 third quarter operating income and operating margin were favorably impacted by the final settlement of contract value for two projects that were completed in prior periods. These settlements resulted in a 60 point basis favorable impact on this segment's operating margin for Q3 2018. Our combined U.S. construction businesses reporting a 6.7% operating margin or $94.8 million of operating income, which has increased from 2018's third quarter by just over $1 million. Operating income for U.S. Building Services of $35.1 million represents 6.6% of revenues and a $5.7 million increase over last year's third quarter.  Operating margin improved by 40 basis points due to quarter-over-quarter increases in gross profit and gross profit margin with our mechanical services operation, which are executing a greater number of projects and service contracts then in the comparable 2018 period and are benefiting from an improved mix of work, which is providing greater margin opportunity. Both reported operating income and operating margin for this segment represent all-time record quarterly performance. Our U.S. Industrial Services segment operating income of $5.6 million or 2.4% of revenues, represents a decrease of $2.1 million and 100 basis points of operating margin from last year's third quarter. Operating income and operating margin within this segment, for the third quarter of 2019 were negatively impacted by an unfavorable mix of work, which included a greater number of small capital projects that carry relatively lower gross profit margins and typical turnaround work performed in our Industrial Services segment.  As a reminder, the third quarter of each year tends to be one of the seasonally weakest for this segment. Although in 2018, we did see an uptick in activity as our customers commenced turnaround activities after the suppression of work due to the prolonged impact of Hurricane Harvey in both late 2017 and early 2018. UK Building Services operating income of $4.8 million represents a slight increase over 2018's third quarter despite the negative impact of the decline in the pound sterling, which reduced reported results in U.S. dollars by approximately $300,000. Operating margin within this segment of 4.9% has improved by 50 basis points as compared to operating margin of 4.4% in the third quarter of 2018. We are now in Slide 9. Additional financial items of significance for the quarter not addressed in the previous slides are as follows. Quarter three gross profit of $336 million or 14.7% of revenues is improved in absolute dollars by $26.6 million. However, our gross profit margin has contracted by 40 basis points due to a reduction in gross profit margin within our U.S. construction operations and our U.S. Industrial Services segment.  The decrease in gross profit margin within our U.S. construction segments can be attributed to a shift and revenue mix as our contract portfolio includes an increased number of projects in the earlier stages of their project life cycle, additionally, consistent with my operating income commentary to declining gross profit margin within our U.S. Industrial Services segment as a result of a greater number of small capital projects and a reduction in the shop services revenues period over period. Diluted earnings per common share from continuing operations is $1.45 in comparison to $1.36 for the quarter ended September 30, 2018. This represents a $0.09 or 6.6% improvement quarter-over-quarter. Our tax rate for the third quarter is 27.9%, which is slightly higher than the tax rate for the third of 2018 due to an increase in certain nondeductible expenses year-over-year. On a year-to-date basis, our tax rate is relatively consistent with where we were through the end of our second quarter and at the approximate midpoint of my previously communicated expected income tax rate range of 27.5% to 28.5% for full year 2019. We have continued our quarter to quarter sequential improvement in cash flow performance with cash provided by operating activities of $219.1 million during the third quarter of 2019. Despite our continued strong organic revenue growth, we experienced exceptional cash flow conversion as our operating companies continue to actively manage their working capital investment. We are now significantly ahead of where we were through the first nine months of last year and we expect positive operating cash flow momentum to continue into the fourth quarter of 2019. We are now on Slide 10. With the quarter commentary complete, let's now turn our attention to our year-to-date results through September 30. Revenues of $6.77 billion representing an increase of $869.3 million or 14.7% as compared to $5.9 billion in the prior year period. Our year-to-date results include a $196.7 million of revenues attributable to businesses acquired pertaining to the period of time that such businesses were not owned by EMCOR in the 2018 year-to-date period. Excluding the impact of businesses acquired, year-to-date revenues increased organically $672.6 million or a strong 11.4%. Significant revenue growth across each of our domestic reporting segments was augmented by revenue growth within our UK Building Services segment despite an almost $20 million revenue headwind due to the unfavorable foreign currency exchange rate movements year-over-year. Year-to-date gross profit of $991.1 million is greater than the comparative 2018 period by $121.8 million or 14% with gross profit improvement in each of our reportable segments. Gross profit margin of 14.6% was essentially flat with 2018, while all segments other than U.S. Mechanical Construction generated improved gross profit margins year-over-year. The reduction in gross profit margin within the U.S. Mechanical Construction segment is due to the revenue composition, I mentioned during my quarterly commentary. Selling, general and administrative expenses of $652.5 million represent 9.6% of revenues, as compared to $578.3 million or 9.8% of revenues in 2018. Year-to-date 2019 includes $26.5 million of incremental SG&A inclusive of intangible asset amortization pertaining to businesses acquired. As I mentioned last quarter, we continue to successfully leverage our overhead structure during this period of continued strong revenue growth. Year-to-date operating income is $338 million, which represents a $48.6 million improvement over 2018' nine-month performance. Our year-to-date operating margin is 5% which is 10 basis points higher than the comparative 2018 period and is static with our operating margin performance through the first half of 2019. We continue to perform a large volume of project and service work at or near record high historical margins. Diluted earnings per common share from continuing operations was $4.22 for the nine months ended September 30, 2019 as compared to $3.52 in the corresponding 2018 period. Adjusting 2018's earning per share from the non-cash intangible asset impairment loss, recorded in 2018 non-GAAP diluted earnings per share from continuing operations would have been $3.54 when comparing the current year's diluted earnings per share from continuing operations to 2018's adjusted number, we are reporting a $0.68 increase or 19.2% year-over-year EPS improvement. We are now on Slide 11. EMCOR's balance sheet continues to maintain its strength. Variations of note from December 31, 2018 are as follows. Our cash balance at $368.1 million is roughly in line with December 31, 2018, as a result of strong year-to-date operating cash flow, which has more than covered investing and financing activities during the year, including approximately $80 million of cash expended for acquisition of businesses, nearly $36 million of capital expenditures, and $36.4 million of debt repayments under our credit facility during the nine-month period. Working capital levels have increased from December 31, due to the growth in our accounts receivable and contract asset balances commensurate with our continued strong organic revenue growth. Goodwill as increased primarily as a result of the five businesses acquired to date in 2019. Identifiable intangible assets have decreased due to $34.5 million of amortization expense partially offset by intangible assets recognized in connection with 2019's acquisitions. Total debt excluding operating lease liabilities is approximately $266 million and is reduced from December 31, 2018 due to our repayment of the outstanding balance under our revolving credit facility as well as our mandatory quarterly principal repayments under our outstanding term loan. These were partially offset by the amortization of debt issuance cost during the 2019 year-to-date period. As a result of our outstanding borrowings, we have a debt to capitalization ratio of 11.9% at September 30, 2019. I'm very happy with our strong cash flow performance during the quarter and year-to-date periods, and as a result, we reduced our already modest leverage profile and have a balance sheet and underlying earnings base that allows us great flexibility in pursuing numerous organic and strategic opportunities. With my portion on the formal slide presentation concluded, I would like to return the call to Tony. Tony?
Anthony Guzzi : Thanks, Mark, and I worked with you a long time, long time, 15 years now. And for the first time I've heard you say that you're very happy. So that must be really good cash flow performance. I'm on page 12 now, and I'm going to talk about our RPOs by segment and market sector. Total RPOs at the end of the third quarter were $4.04 billion, up $65 million or just about 2% when compared to the September 30 level up $3.97 billion. Likewise third quarter activity was about 2% over the December 31 level, up $3.96 billion. Total RPOs have been quite stable between $4 billion and $4.2 billion over the last five quarters while revenues have continued to increase at very strong organic growth rates.  We continue to book and build a significant level of work within the year as we continue to win, both small, medium, and large complex projects. So a quick term projects for booking as well as large more complex projects. EMCOR's bread and butter product size is still between $1 million and $5 million, and these projects do not remain in RPOs for an extended period. And typically burn in two to three quarters.  For the remainder of 2019 and into 2020, we continue to see strong demand for these small to medium-size projects, which to me shows the underlying strength of the market and shows broad-based demand across geography and market segments. For example, our RPOs in our Building Services segment mechanical services business is up by $111 million or almost 26%. Much of this mechanical services work and even some of the small project work in our electrical and mechanical centers around customers' desire to improve the energy efficiency of their facilities, and the cost effectiveness of those facilities, the HVAC, the building controls, the lighting systems, all of those things are things that EMCOR does very well. On the right side of page 12, we show RPOs by market sector. As noted, the mix of work between market sectors has been relatively consistent over the past year with commercial RPOs making up a little over 40% of that total. We believe this diversity of market participation, combined with our geographic footprint, gives us a competitive advantage in our ability to retain skilled labor and have access to end-market demand across a wide range of opportunities. As we move toward the end of the year, our markets remain healthy and bidding activity is strong. We believe this level of activity will continue as we move out of 2019 and into 2020. I'm now going to be covering pages 13 and 14. As we move to year end 2019, we are in the midst of another record year at EMCOR. We are still operating and what we believe is a good operating environment for us with our growing non-residential market, our strong market for our Building Services product offerings, and a much more stable operating environment for our Industrial Services segment. We see each of these trends continue through year-end 2019 and into early 2020 which is the extent of the visibility that we have at any given time that's about six months.  With our strong performance through 2019, we have raised our revenue and earnings per diluted share from continuing operations guidance twice. This will be the third time, which is a reflection of the continued strength we see in our business. We are moving our revenue guidance to around $9.0 billion, up from $8.8 billion to $8.9 billion. We are raising the bottom end of our earnings per share from continuing operations from $5.50 to $5.65, and we will leave the top end of the range at $5.75. We expect cash flow at or above net income with only a small gap in our range at this point in the year, moving us from the lower end of the range to the top end of the range, is a matter of project timing, closeouts, and the strength and duration of our fall turnaround schedules. Let's talk a little bit about capital allocation. We will continue to allocate capital in a balanced, efficient, and opportunistic manner much in the same manner as we have over the last five years. Our priorities are first to support organic growth, second to acquire companies that build our business for the long term, and third we will return cash to shareholders through dividends and share repurchases.  For example, the five companies, we have acquired thus far in 2019 have strengthened our mechanical construction, electrical construction, and Building Services segment. We have a good pipeline of opportunities for small tuck-ins to our existing subsidiaries to large stand-alone operations that can bring new geography and capabilities and positively impact our long-term growth and end-market opportunities. On October 4, of this year, we announced that we have signed our acquisition Batchelor & Kimball, otherwise known as BKI. BKI will bring about $400 million in revenues to EMCOR with a market leading position in the Southeast in mechanical contracting, Construction, and Services. They have the same complex project capabilities as the best EMCOR Mechanical Construction subsidiaries and operate with the same results as our top quartile of EMCOR mechanical construction subsidiaries. We expect this acquisition to close in the next few weeks. As a reminder to those who cover and invest in us, as we typically buy businesses with backlog, we usually have significant backlog amortization in the first two to four quarters post acquisition. Therefore, we will see the positive revenue, EBITDA, and cash impact from these acquisitions before we see the expected long term impact on our earnings per share from continuing operations. We also have made important organic growth in productivity investments in all of our businesses ranging from new digital capabilities to supporting incremental growth opportunities in our Industrial Services segment. We are going to close this record year well, and we are positioned well going into 2020. With that said, Laura, we'll be happy to turn the call over to you to take questions.
Operator: Absolutely, and thank you. [Operator Instructions] Presenters we have your first question coming from the line of Noelle Dilts from Stifel. 
Noelle Dilts: Just given some of the mix leading indicators in the non-res market, I was hoping if you could just comment a little bit on how you're thinking about some of your key verticals and where you see some additional legs into the cycle versus those markets where you may be starting to be maybe a little bit more cautious?
Anthony Guzzi: Yes, I mean, look, I think this is a big giant market that has growth in it yet. We've said for a long time as long as we can get low single-digit growth, even a small contraction doesn't cause us a lot of alarm because of such a big market with so many opportunities. Quite frankly, other than some residential high-rise which were not that bigger participant in, we're not seeing significant contraction in any of the markets that we count on to deliver for us year-after-year.  We continue to see strength in the commercial market, we continue to see strength in the telecommunications data infrastructure market, we continue to see strength in manufacturing especially specialized manufacturing, we continue to see strength in some healthcare markets that's episodic in some ways because of large hospitals, if you get one or you get two, the short. Hospitality is down for us right now, because at the end of the day that also can be episodic depending on, are you building a new luxury hotel, are you building a new gaming facility. Water and wastewater continues to be a source of strength mainly cause of where we're positioned in South Florida and in couple of other key markets. 
, : We continue to build out our position in a positive way that actually drives activity, it drives efficiency, and it allows the owner, more control over how their building is going to operate than would have been done in the past. So would we love a market that continues to grow double-digits forever. Sure, that's not pragmatic. The market growing like it is right now is fine for us to deliver good results for our shareholders.
, : We continue to build out our position in a positive way that actually drives activity, it drives efficiency, and it allows the owner, more control over how their building is going to operate than would have been done in the past. So would we love a market that continues to grow double-digits forever. Sure, that's not pragmatic. The market growing like it is right now is fine for us to deliver good results for our shareholders.
Noelle Dilts: And second, I was hoping you could expand a little bit on your comments regarding labor cost increases and generally around labor availability. As the market remains very tight for labor, are you seeing some opportunity to recoup some of the higher labor costs through pricing given that the market remains strong. Could you just comment a little bit on that, basically cost price dynamic on the labor front?
Anthony Guzzi: Yes, I mean look, we worry a lot more about labor productivity than we do the dollar per hour cost of labor. If we can mix that work right, If we can drive the right productivity through our BIM and pre-fabrication in the kinds of things we do to mitigate excessive labor on a job then we can win. The other thing is our union workforces are tied to CBAs, and you could argue those CBAs also set the price for the non-union labor.  And the unions, by and large, I'm not going to say definitively and Mark please comment also, unions by and large have been reasonable. And I must say not all unions, but most of our local agreements have been reasonable that we're still doing PLAs which would be at a reduced rate versus the overall rate in the market, because they want to win the work. We're still finding the best people, and I've said this many times Noelle, a skilled trades person decides where they're going to work, especially one that's going to become part of your, what you would say, more permanent workforce based on a number of factors, and there are no particular order.  First is, am I going to get paid every week. That sounds trivial, but more contractors go bust in good markets almost than they do in bad markets, because they overextend their working capital. The second thing they look for is, are you going to keep me safe, we can definitively say we work every day, really hard to have the best safety record in the industry, the best safety investment in the industry, and the best safety training in the industry.  The third thing they care about is my supervision actually know what I'm doing, we've got great foreman, superintendents, project managers, and local company operations people and CEOs, our folks know the work. And finally, if I do a great job for you, am I going to have, carry-on work. I am I going to become part of your core team, other than a few markets in this country, we pick the labor.  The unions don't pick the labor that comes to our jobs. That being said, if I can become part of a core EMCOR company team in the market. I'm going to be able to write-off in that downturn, in that local market or overall, because I'm going to have work. Mark, you got anything to add to that. I mean, you look at this all the time.
Mark Pompa:
, :
Anthony Guzzi:
, :
Operator: Thank you. Your next question comes from the line of Brent Thielman from D.A. Davidson. Your line is now live.
Brent Thielman: Hi, Mark. And maybe just back on the free cash flow. I mean just incredibly strong this quarter. I don't know if there is any more color on whether you had a couple of business units with big contributions this quarter, or I guess anything else you can add there?
Mark Pompa: No, it was uniform. I think the only segment that was a different contributor in quarter three than the last two quarters, would have been industrial, and that's just a byproduct of the turnaround season. So since the majority of the work is pursuant to time and material contracts, and they bill on arrears, the work that was executed during the spring turnaround season, wasn't monetized until a quarter, late quarter two and quarter three.  Otherwise, it's just a function of the workflow with the jobs. We continue to try to structure our contractual terms for our fixed-price work to the extent that we can get advanced billed and collected as clearly that's what we try to do, but with the significant organic revenue growth that we've been experiencing for many quarters now in succession, ultimately, it does result in cash flow, and when we were successful in monetizing a fair amount of it in quarter three, and as I mentioned, in my prepared commentary, we expect that quarter four will remain strong as well.
Brent Thielman: Yes. Okay, and then Tony on BKI. Is there anything you can say quantitatively or qualitatively just around, kind of their growth rates in the last few years. And then just kind of beyond that, the financial benefits, obviously the EMCOR. Is there a big opportunity or bigger opportunity to them through a combination with you guys that maybe they're not realizing today?
Anthony Guzzi:
, : We've talked about what the benefits are. This is around a $400 million company with, they'd be at the top quartile, how we perform in the Mechanical segment on an EBITDA and operating income margin base, probably a little bit below operating income margins initially as we burn through some of their backlog, but that has nothing to do with how we're operating the business, how we account for it in the short term. Yes, there is, I mean we have customers. They have customers that we have. There's customers that would like us to do more. These folks have the ability to travel into some markets that were not in. We have some capability to add to that. There're product lines that we can offer to some of their customers and there's places, maybe we can go together that we're not currently serving.  We're not big travelers at EMCOR, typically, other than fire protection or some food processing work, and maybe a little bit of data center work, but if we do workforce development together in some of these markets, it could bode well for both of us in the long-term. Terrific people, great values, very technical ,run by generations of Georgia Tech engineers, we feel pretty good about this acquisition.
Brent Thielman: Okay, that's great. One more quick one again, you had a really strong fourth quarter Industrial Services last year, I guess based on what you're hearing from customers and what you can see in terms of normal turnaround season, I mean do you think 4Q you can be as strong as last year?
Mark Pompa: I don't know if it will be as strong as last year, Mark, but it'll be pretty good. I think it will look more seasonally normal. I mean you got to remember, kind of like in quarter three last year, although it's very difficult for us to quantify it was a difficult for us to quantify a year ago at this time and it's going to be even more difficult in 2019. But clearly, some of the work that was deferred as a result of the storm, did benefit Q3 and Q4 in 2018. There is obviously not that kind of impetus going into 2019.  But having said that, we're going to be working in places that we haven't been in for a little while so until we get in there, start executing against the budget, we have no idea if scope is going to be consistent with our initial thoughts on the way in or expanded, it all dependent on what we find when we get there. So, but the good thing is that we have labor on site, and we're going to do our best to provide the best value service to our customers as we approach everybody's shut down as they get toward the Christmas holiday.
Anthony Guzzi: And when we think about it, right, one of the things you wrestle within this business particularly is, you have, in this business also you have a permanent workforce. And once we start absorbing that permanent workforce in full in the fourth quarter, and it doesn't take a lot of man-hours to get better bottom line contribution above what we were planning, and like Mark said, the reality is our guys do a great job in flexing up, it's a little more difficult sometimes to flex it down in the off seasons. But if I can just flex up a little bit on a turnaround versus what they were planning, they can have an upsized impact, and we don't know that right now.
Mark Pompa: And I guess the only other thing I would add, which is one of the reasons why margin contribution was down in quarter three as I mentioned earlier is, the shops aren't as busy right now as they were at this time a year ago, in order levels, currently as we sit here today, really haven't significantly changed. So, and this is from a revenue mix perspective, the shop work, as I'm sure you remember, is the most profitable work that's executed within that segment. So we'll see how that develops as we go forward.
Operator: Thank you. We have your next question coming from the line of Adam Thalhimer from Thompson Davis. Your line is now live.
Adam Thalhimer: So Tony, I know you're not going to give 2020 guidance. But from a topline standpoint, guys like me are modeling low single digits. I mean is that kind of roughly in line with your high level thoughts?
Anthony Guzzi:
, :
Adam Thalhimer: And then I want to make sure I understand the electrical margins in Q3 because, one it was down 100 basis points year-over-year. You talked about some early stage projects. Was there anything else in there? And then how quickly does that snap back to kind of more of that 7% or 8% range where you have been.
Mark Pompa: Yes. So, this is Mark. The earlier stage projects I mentioned were specific to Mechanical Construction not to Electrical. what's going on with the margins in Electrical, as a year ago at this time, when we were wrapping up some large transportation infrastructure projects in the Northeast geography and that work is just not existent this year. Clearly, if you look at the margin performance of both of our domestic construction operations on a year-to-date basis, they're performing ahead of where they've certainly been on a five year average or an eight year average.  So, as Tony has mentioned numerous times on prior calls, quarter-to-quarter development in margins in each of these segments is difficult, just because of the mix of revenues and where we are on or our project life cycles. Having said that, with what're the RPOs for both Electrical and Mechanical and the type of work we're executing, we're happy with the mix and we are clearly happy with the execution that our operating company teams are providing.
Adam Thalhimer: Yes, no bad jobs.
Mark Pompa: No, actually it's quite the opposite.
Anthony Guzzi: Right.
Mark Pompa: I mean if you look 12 months trailing 7%, 18 month trailing in Electrical 7.1%, 24 months trailing in Electrical 7.3%. They're remarkably steady when you look back. Again margin will fluctuate like Mark said quarter-to-quarter. We've had a remarkable, [indiscernible] by itself. We've had a remarkable absence of badness really over the last six quarters.
Adam Thalhimer: And then this is almost more of a comment than a question. But you're building Services business, Tony, I mean that's amazing to see 6.6% margin, almost, your highest margin segment. Whereas I don't know, six, seven years ago, maybe more when you bought USM, I mean it took years to get that going. I guess the question would just be like high level building services, where are we versus kind of what you wanted to build when you bought USM?
Anthony Guzzi: I think we are really good mix of work right now. We continue to take advantage of project opportunities across our portfolio. We're fully integrated. We said we needed to implement some large projects and facility project, I mean, management contracts, and we are, we're doing it well. We're getting good absorption on our labor overall, and look… 
Mark Pompa: We're going to get a good project flow through
Anthony Guzzi: Yes.
Mark Pompa: From our maintenance contract customers.
Anthony Guzzi:
, :
Mark Pompa: That right-sized the portfolio,
Anthony Guzzi: Yes.
Mark Pompa: And as a result of that, it was painful on margins during that time period. So now, not to interrupt Tony, but I interrupted Tony, so my apologies, the book of business is extremely strong in that segment, and the businesses that we've added over the last five plus years has been quite exceptional and it's provided a more diverse service offering than we've had before. And as a result of that, we clearly have got some margin improvement opportunities which we've taken advantage of.
Anthony Guzzi:
, :
, :
Operator: Thank you. We have your next question coming from the line of Sean Eastman from KeyBanc Capital Markets. Your line is now live.
Sean Eastman: First question for me is, just on the top line, Tony, you do sound pretty pumped up overall. I'm not picking up on any change at all and kind of that, velocity of activity, you're highlighting on the last call, I just wonder as we look out to next year, the revenue guidance moved up pretty nicely as we move through '19. I'm just wondering is there any reason why you can't sort of grow in line with that non-res backdrop next year or should we be considering this a bit of a tough comp as we go into next year?
Anthony Guzzi: I mean, clearly with 13.7% trailing 12 months for our growth, and 8% organic of that, right, I mean that is a tough comp. I mean, let's be clear, that is a tough comp. I always tell people most of the choices people make with us are binary. And I mean, our customers. We get the project, and we don't usually don't get a piece of a project once they've decided how they're going to award it.  We won more than our fair share of that and yes, 13.7% over the trailing 12 months and 10.8% organic, it's exceptional I mean my hats off to not only the team I'm assembled with here but we would take our hats off to get folks and filled. We're obviously winning much more than we're losing. With the non-res market that's growing one to third, I think, one to three maybe next year maybe two to four. I think the way you ask your question, is the right way to think about it.  Can we grow in line with that non-res market. I think the answer to that is yes, we would expect to do that. Now are we going to do that every quarter, now are we going to exceed that at some quarters, yes. I mean, I certainly am not signing up for 10.8% organic revenue growth next year. And you're certainly not paying us for that right now or the stock would be $140, right. I wouldn't say this is unsustainable, but we certainly have a tough comp in the first half of next year and we know that. If you think about what we try to do as a management team on growth overall, I think is a good way to look at it. We think a growth like this, we have good underlying businesses in each of our segments and each of those segments have good underlying businesses in there as for mechanical Construction, who owns a lot of our industrial construction assets. And so does is electrical. 
, : What we try to do is get, I always call more lines in the water, look at growth opportunities broadly, and then really concentrate the resources of EMCOR to do those with customers overall. So if you think about the five acquisitions we've made year-to-date, and now you're going to add BKI to it. You add it all altogether, we had a heck of a year acquisition wise, and we're teed up next year to have a heck of a year we think, now again, each one of those decisions as binary too.  And we do really good due diligence, and it's our operations and our staff teams do really good due diligence to make sure that we're ready to integrate day one. We do this better than we have in a long time. So growth for us is about putting growth engines into the business both capability wise, geography wise, and end market sector-wise, and then we're contractors, once we find out, we can do something well, we try to exploit that in as many places as we can to serve our customers as many cases as we can responsibly and to really drive results across the business. So that's a long-winded answer to say yes we ought to be able to grow with the non-res market next year, but I'm pretty sure that modeling 10.8% organic growth would not be a good thing to do.
Sean Eastman: Very helpful, thanks for that. And just shifting gears a little bit over to the Industrial Services segment, margins this quarter, a little below our forecast. I think you guys mentioned, you have a path back to the mid-single-digit type range in that segment, maybe you can just provide us a little more color on bridging there and speak to the mix of work coming out between shop and field and the types of turnarounds whether they're more welding, more hardware. Just trying to understand kind of the margin mix of work coming out here?
Anthony Guzzi: Yes, I'm not sure about welding versus hardware. I don't understand that, but I do understand that most of the turnaround work we do, we have electrical capability and that's in our electrical segment. Most of the turnaround work we do is mechanically related and it centers on steam fitters and pipe fitters and experienced welders. I think the path back comes to two things, right. More repair work in the shops. 
, : We have a sort of unique way we can do that, because we're a union contractor there, and Mark, I think the path back has been just like it's been. We've had six quarters of recovery, and we continue to look to rebuild that base and there has been a lot going on, right. You have mix crude slates, you have a consolidation industry, and we need to stay on top of all that. Mark, anything to add?
Mark Pompa:
, : And the fact of the matter is, we've continued to make both productivity and capital investments in that business with regards to providing additional services in local markets where we don't have capabilities, wash stand or wash stands in particular, but those things have to be in place well in advance of either the spring or fall turnaround season in order for us to get throughput, and with some of the weather issues we've had in the Southwest region of the country with a lot of rain, we were able to get out of the ground, but unfortunately we were not operational to take advantage of certainly the spring turnaround season and we're hopeful that we're going to see better pull through this fall turnaround season as well as the spring of 2020.  And our customers, Tony mentioned consolidation, our customers are being a little bit more disciplined in their procuring a services and a lot of our competitive landscape there is local in nature, and there are certain price concessions that have been made with regards to some of our customers that unfortunately are being imposed on other people that are providing similar services. So it's clearly the opportunities there relative to the margin enhancement, all have to be driven by mix of work in our productivity as opposed to absorption of labor in the market and those who control the labor dictating pricing. So we're hopeful, we get back to that at some point in time in the future, but we're just not there yet.
Anthony Guzzi: Yes, I mean, I think if you take a two to three year look at this thing, from this point forward. I think consolidation actually helps people like us. And Mark is right, in the short term you have a disruption, you have local companies that are sub-scale trying to hang on, but as the consolidation happens and you deal with the majors, and they have sophisticated organizations that understand it's not just about the cost of labor, it's about the productivity of that labor. It's about your ability to schedule. It's about the mix of your crew on that workforce, on that site. It's about your ability to bring large amounts of labor when needed, like Mark said how they flex up, that takes a lot of working capital to do, it takes a lot of training to do, it takes a lot of safety programs to do, it takes equipment to have ready.  We are uniquely well positioned to do all of the above, and we've proven that in the past. So you're going through this period of customer consolidation. It's been my experience now and other parts of our business and in other businesses many years ago, the initial phase of consolidation brings all kind of decision making that really isn't as rigorous as it is going to be long-term, and the more rigorous that decision making becomes, the more rigorous that decision making centered on your ability to execute and not just price, the more rigorous that decision making becomes on your ability to have the right people at the right time, the more that favors more significant contractors like us, that still operate with local control, put all that together, I think, two to three years from now whatever is available in the market. I expect us to be operating in a very good way against that market long-term.
Operator: Thank you. We have your next question coming from the line of Joe Mondillo from Sidoti & Company. Your line is now live.
Joe Mondillo: Most of the questions have been answered, but thanks for squeezing me in. I just wanted to ask one or two questions. Just was wondering what you sort of generally look at that, you can see sort of indications of whether it's inflection on the upside or a downturn in the market, and I'm just asking just because you see the Dodge non-residential construction starts being flat to down, the Architectural Billings Index, which is theoretically supposed to be sort of pointing to a downturn and obviously it's not necessarily reflected in your tone, in your commentary, as well as actually many of the companies that we've already heard from related to the non-res construction space. There are more in line with what you're saying. So I'm just wondering what sort of you look at, is there anything macro or anything that you can point to that would be giving signs of any inflection in your business?
Anthony Guzzi: So we look at the macro data to give us a sense, are we missing something, we look at everything you've talking about ABI, Dodge, numerous other, FMI, I mean pick one, can we look at at least five or eight different sources. All right, that tells you macro, and then I get into like I said before, what I've learned in our space is every decision is binary, so macro might be flat to even down a little bit, maybe people are starting to predict, but then it's a still big market, and so that says, okay, where are we.  And then what I look at is, what do we look like, right. I mean, we spend a lot of time trying to get pulse from people that are actually at the tip of the spear, right. They're actually doing the work, they're bidding the work, they're in front of the work, and what do they think is going on, right. And we have bid logs that we look at every week for jobs over $10 million. We look at that velocity, we look at how we're winning, we look at one of the things I watch is labor absorption and specific crash, what's going on with the Sprinkler Fitter National Union because that's across the country.  So we look at all those things and somehow that gives us an idea what the market is going to do overall and then we worry a lot less about what the market is doing overall, and we look at our individual places that we have strength, and we say, are they going to continue to have strength and I caveat all this that good visibility, we actually have is about six months, and that lets us know that say okay, it looks relatively stable to up maybe for the next 6 to 12 months. So you put all that in and then you apply judgment, which is what we get paid to do, and that's how we get where we go.
Joe Mondillo: Just sort of follow up on that, especially the, specifically the second part of your answer there. On the manufacturing side of things, I think you guys mentioned you're continuing to see some strength there. One of your peers actually reported last week, sort of saying the same type of thing. Are you surprised at, I guess, the CapEx projects that are coming through from the manufacturing side, because that's one thing, one part of the economy where we can certainly point to where we're seeing significant slowdowns. So is there any questions at all within that market, sounds like it's continuing to trend pretty well, but are you surprised to see the strength in that, on the manufacturing side?
Anthony Guzzi: Yes, no long-term, yes, I mean a sense of, I don't know how things move quarter-to-quarter, and why, I mean I'm not in the capital planning with all of our customers on a multi-year basis. Here's what I think, I think, we have to make investments in your plants and facilities to make them more productive, more automated, and more efficient. So you have to make them more energy efficient, you've got to make them more automated, and you got to make the logistics work for you.  You do all those things, you have a manufacturing facility that can compete and win. I think there are some exogenous factors that are going on now and this is just my opinion. I think, the China trade in a lot of ways, has already had its impact, and what I mean by that is, it's good for EMCOR, in that people are relocating their supply chain back to the U.S., and that doesn't have to happen in a major way for having an impact on people like us.  Go back to the first point, I have a manufacturing facility that's more efficient, more automated, and more productive, I'm bringing things back from China. And we're seeing that, and when I do that, companies like EMCOR are positioned to help us achieve that in the Southeast, the Midwest, and other places. So yes, big picture, there's a manufacturing slowdown maybe in things like steel and other things, but I think people are repositioning their supply chains for the long term.
Operator: Thank you. And we have your next question coming from the line of Tate Sullivan from Maxim Group. Your line is now live.
Tate Sullivan: Just a quick follow-up, you mentioned a robust acquisition pipeline. Any, can you single out any target geographies at this point, I think you have in the past a few, if you can comment? Thank you.
Anthony Guzzi: No, we start to get a little too specific as we get closer to acquisitions. I would say, we continue to fill in our white space and also build capability in markets we're already in, and add new capability, where we can.
Tate Sullivan: All right, thank you for that. Have a good rest of the day.
Anthony Guzzi: Thank you, Tate. That's it. Great. Thanks for the great questions today. This will be the last time we talk collectively until next year, we'll be into 2020, we'll be reporting out on 2019, which we can say right here is going to be another record year. Wish you all a great end of the year and everybody to be safe. Thank you all for your interest in EMCOR. Goodbye.
Operator: Thank you everyone for participating. This concludes today's conference. You may now disconnect. Have a lovely day.